Jens Geissler: Thank you. Good morning, everyone, and welcome to Beiersdorf's half year conference call. This is Jens Geissler, and here with me this morning for the first time as our new CEO is Vincent Warnery; and our CFO, Astrid Hermann. We would like to share with you today our C.A.R.E.+ road map, and of course, Beiersdorf's business results of the first six months of 2021. We will start with the presentation and the business review. Vincent and Astrid will be happy to take your questions after that. As always, m may I remind you that when you register for Q&A, please remember that there is a limit of two questions per caller. And with that, I will now hand over to Vincent.
Vincent Warnery: Thank you so much, Jens. A warm welcome from my end to today's conference call on Beiersdorf performance in Q2 2021, which I am happy to share for the first time as CEO of Beiersdorf. Right before the start, a quick personal word. As this is our first conference together, I would like to emphasize that I truly value this conference and I hope to have other opportunities to exchange further with each of you. So far 2021 has been quite a turbulent year. We have seen major challenges such as the ongoing COVID-19 pandemic or natural disasters. The recent floods in Europe have once again shown how urgently we need to combat climate change on a global scale. We feel deeply with those who lost loved ones, and as a company, are trying to help as much as we can. On the other hand, we can see first signs of relief regarding the pandemic, first and foremost, due to the progressing vaccination campaign. Despite that market conditions are still volatile, Beiersdorf has built on its solid business performance from the first three months, and we see a further significant improvement in the second quarter. Before we take a closer look at the results for the first six months of the year, I would like first to underline the major strategic aspects I'm focusing on as a CEO. First and foremost, I am happy to share that Beiersdorf is moving in the right direction. We introduced our C.A.R.E.+ strategy two years ago, and it will remain our strategic road map for the coming years. We made good progress on this path. We are inspiring people with our skin care innovations. We are reaching our consumers through digital channels. We are tapping new business areas and markets. And we are consistently getting closer to our goal of achieving climate neutrality. We want to make a major contribution to protecting our climate and shaping a climate-positive future. I'm proud to see our speed of action. The first climate-neutralized NIVEA products are already available on shelf and the first of our production sites, Berlin, will already operate climate-neutral at the beginning of 2022. Second, Eucerin, Hansaplast and La Prairie are very successful brands worldwide. In the past years, we have designed a new operating model with a much stronger global footprint, and at the same time, developed and introduced highly successful product innovations such as Thiamidol. We have also positioned our brands both online and off-line, and as a result, we see double-digit growth across all three brands despite the worldwide economic challenges of the past years. I want to leverage this successful approach to position our flagship brand, NIVEA. That brings up the third key point, make NIVEA an even more iconic, even more modern and transgenerational brand. My goal is to develop NIVEA as a global brand while ensuring the right fit with local consumers across the world. One successful example of this new global approach is the NIVEA LUMINOUS630 product range that we just introduced across the world. Fourth, last year showed once more how important digitalization is for a successful business model. We systematically expanded our investment in digital, and we will continue to do so. As of today, 1/4 of the growth in our mass business and even 1/3 of the growth in our Derma business in H1 2021 came from e-commerce. But we still have a lot of potential here. There are many reasons for the current share of online being at 9%, a relatively small presence in China and the U.S. being one of them. Accelerating the digital transformation further is high on my agenda. That specifically means that a large part of €300 million investment program will go towards expanding digital channels. Our goal simply is to make Beiersdorf more competitive in everything digital. And fifth, as a global operating company, we regard diversity and inclusion in our teams as an opportunity and a key to our success. I want to express my commitment to building a company where everyone has an equal opportunity to succeed and feel a real sense of belonging. We are currently hosting the first public Pride Festival to celebrate diversity and tolerance together with international partner companies, LGBTIQ+ organizations and prominent guests. Our goal is to raise awareness and promote tolerance both within the Company and beyond. We have a clear road map for the path forward. We will further evolve, accelerate and deliver our capital strategy. Cornerstone of this strategy will be accelerating growth, boosting digitalization and innovation, finding efficiency and driving sustainability. These priorities have become even more relevant against the backdrop of the past economic turbulences due to the pandemic. Let us now take a look at how our business has performed. Although the coronavirus pandemic and its effects still holds a large part of the world in their grip and continue to impact markets, we are seeing a significant improvement in our figures. The strong sales growth in the second quarter lifted us even above the precrisis level of 2019. Our core NIVEA brand is back on a growth path and has achieved a 9.1% year-on-year increase in organic sales. Strong sales growth in the body and face care categories, which far exceeded even the levels seen in 2019, contributed to the strong performance in the first six months of 2021. Our Derma-cosmetics brands, Eucerin and Aquaphor, continued the success story of the previous quarters. They grew by 22.1% compared with the previous year and almost 30% compared with the first half of 2019. We achieved a sustainable increase in sales, particularly in the U.S., which is one of the largest markets for dermatological skin care, but also in Asia, Latin America and Europe. The major drivers for this remain our product innovation, including the patented ingredient, Thiamidol, and the significant growth in e-commerce. Although restrictions continue to hit the travel retail business, La Prairie has recovered quickly, achieving strong organic year-on-year growth of 41% in the first six months of the year. This recovery was led by the early reopening of markets in the U.S. and a very, very strong business in Asia, I will come back to this later. Trends in international travel retail business will also mainly determine when La Prairie achieves its 2019 sales level again. Healthcare business around the brand's Hansaplast and Elastoplast was also significantly affected by the pandemic last year. This year, we are already seeing strong sales growth in all our main markets. With organic sales up 16.5% year-on-year, this part of Beiersdorf surpassed its 2019 levels. tesa also continued the strong performance of recent quarters to achieve year-on-year organic sales growth of 28.2% in the first six months of the year, well above the precrisis levels. Once again, tesa sales growth was led by the Direct Industry division, which handles business directly with industrial customers. At group level, these figures equate to organic sales growth of 16.2%. Astrid will comment on the figures in detail later. Ladies and gentlemen, though we have challenging months behind us, we have made significant progress in implementing our strategic priorities as part of C.A.R.E.+. Let me review a few of them with you. Skin care innovations are an essential part of our strategy. We have set ourselves the goal of embracing our consumers' individual needs and wishes and offering them genuine added value. We can only achieve this by constantly developing innovative and effective skin care products and ingredients and by creating genuine innovations to decode the skin's complex processes. We use the technology developed by our research and development as a shared basis for the diverse brands in our portfolio. One is Thiamidol. Our researchers spent over 10 years working on a highly effective ingredient against hyperpigmentation. The results was Thiamidol, a solution for the dermatological skin care market that we have introduced in 2019 on Eucerin. With NIVEA LUMINOUS630, we have built on this innovation. It has indeed been integrated into different formulae for Eucerin and NIVEA brands to address specific skin problems and enable different care routine for consumer-specific needs. By systematically cascading this highly effective ingredient through our brands, this breakthrough innovation became our most successful product launch in Beiersdorf history. While Eucerin's successful Thiamidol range is aimed at the dermatological skin care market, NIVEA with its LUMINOUS630 products is the first mass market player to address pigment spots and with great success. The high-quality NIVEA LUMINOUS630 face care range is a solution for all consumers who suffer from facial pigment spots. We have introduced NIVEA LUMINOUS630 worldwide in recent months, and the high demand bolsters our conviction that we are living up to our mission. And we want to continue this success. We'll add further products to the face care range this year, such as NIVEA LUMINOUS630 anti-spot tinted fluid double corrector with sun protection factor. And we are going one step further, the new LUMINOUS630 anti-spot advanced hand cream we are introducing at the end of August will reduce and prevent pigment and age spots, as well as intensively moisturize the hands. These compelling innovations are the foundation for us to further expand our footprint in key growth markets, such as China. The Chinese market is a focus region within C.A.R.E.+. As a continuously highly dynamic and attractive growth market for personal care and beauty products, China is a major growth driver for Beiersdorf and continues to offer enormous potential for our core brands. Over the past years, we have established a very strong footprint in China. Among other initiatives, we particularly strengthened our regional skin care expertise. Our efforts paid off. Beiersdorf is now one of the most successful beauty players in Greater China with an H1 growth of plus 44% versus 2020 and plus 12% versus 2019. Beiersdorf core brands, La Prairie, Eucerin and NIVEA significantly contribute to our success in China. First and foremost, La Prairie. Our luxury anti-aging flagship brand precisely met Chinese consumers' rapidly growing interest in premium skin care and has become a well-known and highly successful luxury brand in China even when sales were still limited to off-line channel in pre-COVID times. Now we are also rapidly driving the brand expansion with increased digital marketing and sales. Our presence on Tmall is particularly helpful for reaching new, especially younger consumer groups. Although there is no difference when it comes to the products chosen, the most successful La Prairie products range is also preferred by the younger shoppers on Tmall. Thanks to our newly opened flagship store, we will be able to raise the number of visitors to above the 10 million mark this year. With Eucerin, we chose a purely digital strategy when entering the Chinese market in 2019, an approach that is more than paying off. We are very satisfied with the development of the past two years. The dedicated online shop on Alibaba's Tmall also enabled Eucerin to rapidly expand its online presence. Our goal is to be gradually representing on all leading digital platforms in China. Since the launch, we have significantly increased Eucerin sales and market share, and we continued to grow in the first half of 2021 with a plus 61% growth versus 2020 in Greater China. And of course, NIVEA. NIVEA has been a household name in many parts of China for almost 100 years now and we still see significant potential for further market share gains. We are relentlessly working to expand the brand's footprint in China. We are currently reengineering the brand, for example, by researching various product innovations for NIVEA to make the brand even more attractive for Chinese markets. Innovations in NIVEA's LUMINOUS630 series are looking particularly strong as the first success as a strong indicator for the future. Obviously, we do not rest on our laurels. To further accelerate this positive development in China, we have opened a research and development center in Shanghai last year, our second largest one globally. This is an important milestone in expanding our growth potential not only in China, but also the wider Asia Pacific region. Tapping into gross market and new business areas is another element of the C.A.R.E.+ strategy to fill in the white spots on the world map and offer added value with our products for people in these areas. The first big key initiative of C.A.R.E.+ was the acquisition of the iconic American brand, Coppertone, around two years ago. The management team and I immediately realized the great potential of this asset within Beiersdorf portfolio when it was put up for sales. So I was glad to be given in January 2020 the full responsibility for the U.S. market and the opportunity to lead the acquisition and integration of Coppertone, allowing Beiersdorf to enter the world's largest sun care market. Following the successful integration and despite impacts caused by the COVID-19 pandemic, we are delighted that Coppertone was able to build on its recovery in this year Q1 by achieving double-digit growth in the second quarter partly as a result of the early start to vaccination campaign in the U.S., but above all due to the gained market share in the U.S. for the first time since 2012. Along with the new brand and marketing strategy that put a greater focus on online business, the sports segment was a major driver behind this development. Going forward, we plan to build a new brand architecture and to strengthen the brand positioning of Coppertone by reorganizing the portfolio, developing breakthrough innovations in our key segments, family and sports, to improve the modernity of our packaging and to increase the digital communication with our consumers. We are not taking the brand's popularity for granted. We want to further enhance our market positioning. We can only achieve this by developing innovations and products that even more closely meet the individual local needs of our consumer. In the U.S., just like in China, we are, therefore, relying on our local know-how. We are indeed turning our Coppertone research laboratory in New Jersey into a regional innovation center being the first global competence center for OTC, over-the-counter, sun care is OTC in the U.S. in close proximity to the world's largest therapeutic market. The new hub will not only serve the Coppertone brand, but also accelerate local innovations for NIVEA, Eucerin and Aquaphor. Let us take now a look at our commitment to sustainability. For us, Sustainability is an integral part of our C.A.R.E.+ strategy, which is reflected in our decision-making and business processes. Protecting the climate is a central part of our commitment to sustainability. We have set ourselves ambitious targets in line with the Paris Agreement to limit global warming to 1.5 degrees Celsius. These targets have been recognized by the Science Based Targets initiative. Since 2019, for example, we have been supplying all our sites worldwide with green electricity. And since 2014, we also managed to cut our Scope 1 and Scope 2 CO2 emissions by around 65%. Together with our suppliers and partners, we are now working hard to also reduce our Scope 3 emissions. In addition, we are making good progress on our way to climate neutrality at all our production sites by 2030. As mentioned before, the production site in Berlin will already operate climate-neutral at the beginning of 2022. Our largest corporate brand, NIVEA, started to climate-neutralize products while environment footprint had been already significantly reduced. This is reinforcing our climate commitment and setting new benchmarks for product sustainability. The latest example of this is the new packaging materials we are using. With the NIVEA Naturally Good face care jars that we are introduced in around 30 countries in April this year, we avoid the use of fossil-based virgin plastic, thereby vastly reducing CO2 emissions. Another step is the switch to recycled plastic, which we have already fully implemented for NIVEA Shower range in Germany. This means that numerous climate-friendlier NIVEA products are already on the shelves. We are complementing these efforts with compensation projects such as reforestation in Liangdu in China to become climate-neutralized. Reducing emission is a core policy we are focusing on at Beiersdorf. Compensation through high-quality reforestation projects is a necessary contribution to a climate-positive future. They are just some important milestone for us, and I can promise you already that there are more to come. Care Beyond Skin is our purpose and our responsibility to look after people, society and the environment. This sense of responsibility is what has set us apart for almost 140 years, and times of crisis are no exception. In the last few months, we have worked hard to open our in-house vaccination service here in Hamburg-Eimsbüttel. Since June, we have already offered 5,000 vaccinations to employees, their relatives and to the local community. I want to thank our medical team and the many helping hands from across the Company. We have worked so hard in the last few months to make the vaccination center a reality. And now I will hand over to my colleague, Astrid Hermann. She will present the financial results in detail and look at the successful quarter at tesa. Astrid.
Astrid Hermann: Thank you, Vincent. I would also like to welcome you to our presentation on the first half of the year and will now guide you through the key financial figures. Let us start by looking at the key figures at group level. Here, organic sales grew by 16.2% year-on-year. There were exceptional one-off costs of €30 million in the first six months, all of which were incurred in the Consumer Business segment. They mostly relate to reorganizational expenses in the supply chain organization, and to a lesser extent, to projects as part of our Care Beyond Skin aid program. Excluding these special factors, our EBIT margin at group level increased by 160 basis points to 15.3%. That was mainly attributable to a substantial increase in sales across all regions. The return on sales after tax also went up by 180 basis points to 11.0%, resulting in increased earnings per share of €1.83 versus €1.37 in the prior year. Let's look at our business segments in more detail. We grew organic sales in the Consumer Business by 13.6%. The EBIT margin benefited from the sharp rise in sales. However, that was partly offset by investments we made in digitalization and sustainability, which we had announced at the beginning of this year under the C.A.R.E.+ strategy. This resulted in an EBIT margin of 14.1% for the first six months and an increase of 80 basis points versus prior year. In the tesa business segment, we kept our performance from the first quarter and finished the first half of the year with very strong organic sales growth of 28.2%. Here, we could increase our EBIT margin by 490 basis points to 20.5%. Since the beginning of this year, we have seen a strong recovery in the Consumer segment. After a 6.6% decline in sales for the whole year 2020, we posted moderate sales growth in the first quarter. In the second quarter, which was most impacted by COVID-19 last year, we generated growth of 27.1% and have returned to a level of 2019 after the first six months of this year. Let us now take a closer look at the individual brands in the Consumer Business segment. NIVEA generated organic growth of 19.0% in the second quarter. In line with the focus of our C.A.R.E.+ strategy, we increased sales most in our skin care categories. However, the deodorant business also remained stable overall. Product categories such as lip care and sun care are still impacted by restrictions imposed under the pandemic, although the suncream business picked up sharply in the wake of the fall in new COVID cases in the latter part of the first half. In our Derma business, we saw excellent growth in all regions. In Latin America, we reported very strong double-digit growth both versus 2020 and versus 2019. Mexico, Chile, Brazil and Argentina were our main markets in this regard. However, we also grew strongly in the U.S., which is our most important derma market worldwide. And we're fully able to compensate the effects of the ice storm on our warehouse in Memphis during the first quarter. Once again, our Thiamidol product range posted the largest growth, especially on the back of the launch of the 3D Serum in the last six months. Our Hansaplast and Elastoplast brands were significantly hit by the lockdowns in the second quarter of last year. That slump was offset in the second quarter of this year. Resumption of sport activities, both private and professional, led to sharp growth in the sports categories. All in all, we posted sales growth of 40.1% in the second quarter. La Prairie achieved organic sales growth of 77% in the second quarter. As Vincent already mentioned, the main factor being our strong performance in Asia. At the product level, there was higher demand, particularly for the luxury collections with the reinnovations, Platinum Rare and Pure Gold. Next, let us turn to the performance of the individual regions in the Consumer Business segment. In Europe, organic sales rose by 9.1%. In Western Europe, organic sales growth amounted to 8.7% mainly driven by the strong sales performance in Italy, Switzerland and Austria. La Prairie's global travel retail business, which is reported under Western Europe, also gained speed after the heavy impact from the COVID-19 pandemic last year with substantial sales growth recorded here. In the Eastern Europe region, sales were up significantly across all countries with organic sales growth of 10.7%. Poland and Russia were the countries that recorded the biggest progress in sales. In the Americas region, organic sales rose by 20.7%. Organic sales in North America increased by 17.2%. This was predominantly driven by the strong double-digit growth in the Coppertone sun care business and continued sales growth at a high level for the Eucerin and Aquaphor brand. Latin America recorded very strong sales growth of 24.9%. We can report double-digit growth in just about all countries with Brazil and Mexico making the biggest contributions in the first half of the year. The Africa/Asia/Australia region recorded organic sales growth of 16.1%. Our sales performance was particularly strong in China, India, Thailand and Malaysia. La Prairie achieved significant year-on-year sales growth in Asia. Eucerin had another strong delivery with double-digit organic sales growth. Let's take a look at our gross margin development. Assuming constant exchange rates, we increased our gross margin by 40 basis points year-on-year to 61.1%. Price effect had a positive impact and La Prairie's recovery provided significant mix effect. We can report net positive cost effect, which is primarily due to the sharp increase in volumes in the first half of 2021. As we were still protected by contracts, commodity costs have not played a significant role in the first half of the year. That said, we will be impacted in the second half, but we'll look to take advantage of pricing opportunity. Negative exchange rate effects of 140 basis points had the biggest impact on our gross margin in the first half of 2021. We are pleased to be able to report that our working capital management measures have paid off, and we cut working capital significantly. The reduction to 6.9% of Consumer sales reflects the recovery after the pandemic's impact in the previous year, but also the high priority of working capital management throughout the organization. Vincent already mentioned our strong push for digitalization at Beiersdorf. Let me give you some color around the implementation of various projects in our Consumer Businesses. A good part of our overall investment program of €300 million will be spent on digital this year as well as in the coming years. Here are some examples of how we will step change our digital setup at Beiersdorf. We are investing in digital capabilities of our organization. That means on the one hand, we are upskilling 100% of our employees in order to achieve more efficient ways of working. On the other hand, we are investing in our digital infrastructure. Starting with investments into data and analytics or D2C platforms like the recently launched Eucerin online shop in the Netherlands up to the optimization of our digital customer relationship management. These investments are the foundation to leverage our precision marketing, a key element of our future e-commerce strategy. We have invested significantly in one-on-one consumer interactions and are planning to double these investments in the coming years. The 40% growth of e-comm sales in the first half 2021 is another proof that we are on track and that these investments pay off. We doubled our head count in e-comm within the last year and are also spending more than 40% of our total marketing on digital media. We will continue to increase this ratio to further accelerate our e-comm business. We now come to the tesa business segment. We have already reported on tesa's outstanding first half year performance. Based on a weak prior year quarter, tesa posted organic growth of 33.5% in the second quarter, resulting in an increase of 28.2% during the first six months. This growth comes from all business areas and regions, in particular, the electronics business in Asia and the global recovery of the automotive industry. The Direct Industries division generated growth of 38.4% in the first half of the year. tesa's consumer business also continues to grow, in particular, on the back of growth in e-commerce. All in all, the Trade Markets division grew by 14.9%. tesa operates in a fast-paced industry that demands impeccable quality, and in particular, great adaptivity and innovation. The electronics business performed strongly behind the so-called project business with manufacturers and suppliers in China. One focus is on innovation for thermally conductive adhesive tape solutions that are used for 5G smartphones or smartwatches. The automotive business increased sales substantially in this positive global environment in all regions. Among other things, it benefits from two major trends: e-mobility and automation. Protection against heat and fire is vital to both of them. That is because the faulty and overheated battery cell can have a domino effect on adjacent cells and potentially cause a fire. That is where our product, tesa FireGuard, comes in, a special adhesive tape that is heat-resistant and prevents flames from spreading. The do-it-yourself trend continues in 2021, and we increased sales sharply in particular in the e-commerce segment. There is growing demand for sustainable solutions. In April 2021, we launched two new parcel packing tapes that meet the necessary requirements in this area: the tesapack Bio & Strong with a bio-based carrier material and the paper-based tesapack PAPER STANDARD. These two products are already available in professional stores and will be offered to end consumers starting August 1. We now come to the outlook for the remainder of 2021. While the overall market situation remains volatile, we would like to give some additional guidance in more detail. Given the sharp rise in commodity prices, coupled with significant increases in transportation costs, we are seeing a visible impact on our figures in the second half of the year, which we expect to continue in H1 2022. Profitability in the second half will increasingly be affected by our investment programs for digital and sustainability. We guide for the Consumer Business segment to see high single-digit full year sales growth. At the same time, we confirm that we expect the EBIT margin for 2021 to be at last year's level. At tesa, we are now facing more challenging comps in the second half and expect high single-digit sales growth for the full year. The tesa EBIT margin will be affected by higher raw material costs in H2 than in H1, so we expect tesa's full year margin at the previous year. On a combined basis, we guide for high single-digit growth and an EBIT margin at the level of the previous year for the group. I thank you for your attention, and hand back to Vincent for his closing remarks.
Vincent Warnery: Thank you, Astrid. You have just seen our updated guidance for this year, where we want to provide you with as much transparency as we currently can given that we are still in the COVID pandemic. When it comes to medium- or longer-term guidance, however, things are obviously more difficult. Providing guidance based on numbers under the current circumstances, even just for the coming year, will not be a responsible way of acting in my view. What we will do, however, is the following: when we publish our Q3 results in October, I would like to provide you with an updated guidance for 2021 and give you a qualitative outlook to 2022. This will give you an early idea of how we see the coming year. A part of that, let me clearly say that now in 2021 and in the coming years, our focus is on investment and on the sustainable improvement of our business. This also means, of course, that we are laying the foundation for profitable growth going forward once we have left the peak of our investment program behind us. Ladies and gentlemen, I have worked in the health care and cosmetic industry my entire professional life always with a mission to arose desires and aspirations among consumers. We want to find answers to these desires before customers themselves even discover they are there. This will be the crucial factor on our strategic journey with C.A.R.E.+. As a result, we'll tap Beiersdorf's huge potential. Beiersdorf is an outstanding company. I greatly look forward to leading our company in those exceptional times and shaping it together with the entire team. Thank you.
Jens Geissler: Thank you. We will now start the Q&A session, and we'll be happy to take your questions. Please remember that we have a limit of two question per person.
Operator: Ladies and gentlemen, at this time we will begin the question-and-answer session. 
Jens Geissler: I see a number of callers already. First in line would be Iain Simpson, Barclays. Please. Iain?
Iain Simpson: A couple of questions from me, please. Firstly, on your guidance for flat margins for the year, I would imagine you'd be getting a pretty significant operational gearing benefit given the top line growth you're seeing. You said that it would go into a combination of offsetting raw material pressures and increased investment in the second half. Are you able to give us any sort of sense of the balance between those two items, what you might be looking at in terms of raw material headwind or how much you think investment might step up in the second half? Anything along those lines. And then, secondly, just looking at the top line, in particular, sun care, clearly doing very well in U.S. sun care and good to see Coppertone gaining share there. Can you give us a bit of commentary on European sun care and what you think that might look like for the rest of the year and how that's been going in recent months.
Jens Geissler: Astrid for the first question.
Astrid Hermann: Thank you so much for the question around our flat margin guidance for the year. So we clearly have already seen in this first half behind our very strong top line some significant leverage from our plan. This has really helped us in terms of the margin in the first half. We are -- and additionally, we were also protected by contracts around our material prices coming from the fourth quarter of 2020. We will be seeing that turn in the second half. We will see material prices as well as transportation costs going up. Again, we will look to take some pricing there as we have the opportunity. And then we will be investing further. We have already in the first half, but we are stepping up that investment in the second half looking to at about a double digit -- low double-digit million amount in investment.
Vincent Warnery: On the sun care question, Iain, two comments. First about the U.S., we are extremely happy with Coppertone. I mentioned that and I just got this morning the July market share where we are reaching a record level. So really happy with that. As a matter of fact, also, we are launching Eucerin Sun in the U.S. which is also a very important launch for us. In Europe, we had a slow start. The market was slow obviously the beginning of the second quarter. But we had a very, very strong month of June. We had -- we were above expectations. We have not yet seen the market share, but obviously, the start of the season is extremely good and it seems to benefit NIVEA.
Jens Geissler: Thank you. So we move on to Martin Deboo, Jefferies, please. Martin?
Martin Deboo: I essentially have the same question as Iain on margins. But I think it's of sufficient importance, I will just ask it again. I mean the margin -- the full year margin guidance relative to the strength in H1 implies quite strong compression in H2. And I just want to be crystal clear to try and get a better idea of the size of the moving parts in H2 in terms of how much of the margin compression is coming from investments, how much is coming from potential under recovery of raw materials? And given the adverse FX on gross margin in H1, do you expect that to repeat in H2?
Astrid Hermann: Martin, I'll take that question. So in terms of the compression, raw materials will truly have a very significant impact on the back half. Again, we were protected in the first half, which was fantastic, but we will see a significant impact, triple-digit basis point impact, from commodities. And then as I mentioned, we will -- versus the first half step-up investment, we'll see about a double-digit million increase in investment in the second half. FX, assuming -- we obviously don't know what the future will bring, but assuming current FX levels, we should see less of an impact in the second half than we are in the first half.
Jens Geissler: Okay. Thank you, Martin. So next, we have Celine Pannuti, JPMorgan. Celine?
Celine Pannuti: Yes. My first question would be while I wait for your autumn strategic update, I wanted to understand what is your vision for NIVEA. You said that you want NIVEA to be developed as a global brand. Where do you think the opportunities are? And what is currently NIVEA not doing well enough? That's my first question. And then my second question is on -- the -- well, I think gross margin. I think we -- sorry, my second question on gross margin was taken care of. So can you just -- as a follow-up, you say that travel retail was still an impact for La Prairie, but then you said that travel retail did well in Europe. So can you comment about travel retail overall for La Prairie.
Vincent Warnery: Thank you, Celine. On the NIVEA, think we discussed that already. You've seen what we have done on the other brands on La Prairie, on Eucerin and Hansaplast starting from the same base. We are clearly set up as a rule that in the beauty world, brands are global. And that the best way to fully leverage innovations, marketing tools, digital campaigns was really to have a very strong global guidance and avoiding people to reinvent the wheel. So this is what we have done, and this is what I want to do better at NIVEA. This is why I was mentioning LUMINOUS. LUMINOUS, this is the first time where we have purely globally driven launch, where we do have some difference of execution. Obviously, we don't talk about the same way to German consumers and to Thai consumers, but there is clearly a top-down global guidance, which is making a difference. So that's what I want to reinforce in the operating model, which is really giving the maximum chances to NIVEA to shine on the market. On your second point, there are clearly very different situations. In the U.S., obviously, we are getting better, but it's still not at the level it used to be before. The huge recovery it's really Asia. It's Asia, it's China, Hainan, for example. Hainan, we are tripling ourselves. We are clearly benefiting from the fact that Chinese tourists are perhaps no longer traveling abroad, but they are traveling inside China. So here, we are making record sales. And we see overall that Europe is really lagging behind. There is no real transportation dynamics. So this is also why, as I was saying, we are not yet at the level of 2019 on La Prairie. So very strong in Asia, good in the U.S., not yet good in Europe.
Celine Pannuti: And did I repeat -- or can you talk about what's the growth in Coppertone for the first half?
Astrid Hermann: Sure, Celine. So we're growing high double digit in the U.S. in Coppertone.
Jens Geissler: Okay. So -- thank you, Celine. So we move on to Bruno Monteyne of Bernstein, please.
Bruno Monteyne: I'm going to come back on margins again. I'm trying to keep my numbers simple, but to have flat margins year-on-year, the second half margin needs to be between 10%, 11%. You also make it clear that these cost pressures are going to also cut into the first half of next year and you're stepping up your investment. I just -- that seems to imply that next year's margin has to be down given that you'll have the full impact of inflation plus more investment before then the profitable growth will start. Am I reading that correctly? That's the first question. And the second question is to achieve your high single-digit organic growth for the full year, it implies, if I go back to 2019 on sort of a 2-year growth rate, that the second half will be somewhat slower than the first half. So a slowdown in the recovery than what we've seen before. Am I reading that correctly?
Astrid Hermann: I will take both those questions. So in terms of the margin, while we are seeing an impact in 2022, we will obviously make plans to offset that and we are not targeting lower margins in 2022. We're absolutely currently in the start-up phase of our planning for the next year and are looking for the right opportunities to obviously impact all the headwinds we are seeing. In terms of high single digit, the H1 comparison clearly is the easier one than the back half. We have good ambitions to obviously try everything we can to beat our number, but at the moment, we -- given the volatile situation we are seeing around the world, high single digit is our guidance.
Jens Geissler: Okay. Bruno, are we fine? Okay, then we move on to Emma, please, of RBC.
Emma Letheren: I realize it's not entirely fair to direct this question to you, Vincent, because you didn't make the decisions. But I'm just wondering, there's been more change at the top at Beiersdorf over the last few years than it has been for any of the other companies that we look at. So I'm wondering if you can help me understand why there has been that turnover, if you are maintaining the original C.A.R.E.+ strategy, on what you think you will do differently to previous management. And then my second question, I'm wondering is it fair to say digital is the most important pillar for you in the C.A.R.E+ strategy? In the press release this morning, you mentioned that it will receive a significant part of €300 million. I'm wondering if that means that it will receive more investment than something like white spots or ESG.
Vincent Warnery: Thank you, Emma. I will obviously take the first question. Recently, when my first announcement was the announcement of two new Board members joining the Company. I think it was an extremely good story. There is one who has been the 20 years with the Company, patrick Rasquinet, making a success of La Prairie; and another one coming from outside, which is Oswald. And I think this is a good example of the way, together with the Supervisory Board, we are building the Board. I've been working on this Board for the last five years. I know very well my colleagues. I was able, together with them, to make the successful Beyond operating model in an extremely smooth way. So I feel comfortable. I think we have the team. I think we have the ambition. We have the same vision also what to do to improve further the way we drive NIVEA. So I feel that we are in a very good situation today, and I'm very proud of the Board I am leading now.
Astrid Hermann: In terms of digital and your question there. So we communicated that our €300 million investment is behind digital sustainability and our white spots. We obviously had started investments, particularly in the latter two earlier already in 2019 and 2020. Digital clearly is now the biggest focus in terms of the €300 million. Whether it's the most important part of our strategy, it's hard to put all of that on a scale. It's certainly a very, very key pillar. And as I've already described in my presentation, we are really seeing some fruits from the investment, and we'll continue to drive that further.
Emma Letheren: And just a follow-up. So on the first question, I more meant the change in CEO, CFO. I'm wondering what you will do differently to the previous CEOs and CFO. What do you consider while keeping that same C.A.R.E.+ strategy?
Vincent Warnery: Emma, one of the things also I can tell you I was part of the C.A.R.E.+ strategy buildup because I've been really part of the Board since five years and I absolutely fully support every aspect of the C.A.R.E.+ strategy. What I'm trying to do right now is to execute. We need to deliver, to walk the talk, to accelerate when possible, to invest where needed. And both Astrid and myself, and together with the Board, we are clearly in this mindset delivering and delivering against our commitments. Personally, what I'm trying to do also, perhaps more is to drive this global way of managing the brand. That's really perhaps where I'm trying now to add a new direction is to transform NIVEA into really what it used to be in the past, and it is still in some areas an iconic modern global brand. So that would be my touch on top of delivering against the C.A.R.E.+ strategy.
Jens Geissler: And we could also add that this is something that we've seen in the Eucerin brand and the Beyond brands before. So you could expect, well, a similar approach now also for the big brand going forward. So we move on, please, then to Chris from Redburn.
Chris Pitcher: Following up from the question on the digital investment. I think you said earlier on the call that your revenues, I think, from e-commerce for about 9%, can I just reconfirm that? And could you give us a sense for what that number would be for your core brands and give us maybe some examples of where you think the previous digital investment wasn't working and what we should look out for to really see proof of this investment coming into the market. And then, secondly, in Europe, you called out Italy as being strong. Can you say how you're performing in some of the other markets, such as Germany, the U.K. and France?
Vincent Warnery: I will answer the first question and Astrid will take the second one. On digital, we have -- so 9%, obviously, is the average of the Company. We are extremely strong with Derma and I mentioned the example of China, which is 100% digital. So we are growing in Derma e-commerce above 50% and it's making today I said 1/3 of the growth. It's a big part of the business, and it's true everywhere. It's obviously very true in the U.S. where Amazon is a key customer. It's very true in China with Tmall being our platform. But it's also true in Europe. And for example, in countries like Germany, like Belgium, like even France, we are growing double digit in e-commerce. La Prairie was -- it's more beginning. We have LP.com, which is sites we have in a few countries. But Tmall, I would say is the first time that we are thinking big and really building a specific platform with an e-commerce partner with La Prairie. We're always a bit afraid of not getting the right brand equity, and now with Tmall, we're happy the way it's driven. NIVEA, we have different situations. Very strong in the U.S., Amazon. Very strong, growing faster in emerging markets. So it's where obviously we can accelerate. We are investing a lot in digital marketing, we're investing a lot in new platforms, we're also developing the expertise of e-commerce in all our countries. We used to have a reduced number of e-commerce experts, and as Astrid mentioned, we doubled the number of people who work in e-commerce. So I would say this is where the investment we are putting in place will drive a quicker growth of e-commerce for the Company.
Astrid Hermann: In terms of your second question around Europe, so certainly, the first half of the year, we still have seen the impact of COVID on the European geography. Second quarter improved significantly, so we're quite happy about that. In terms of your specific question around Germany, we are now for the half year flat, which is a good place. Again, a turnaround in the second quarter and especially towards the latter part of that quarter, we really saw some further positive momentum. We see good performance again in the countries. We talked about Italy, Switzerland, Austria, but also positive in the U.K., which is obviously another very important market for us.
Chris Pitcher: And could I just quickly just on the digital investment, you mentioned e-commerce. What about technology, consumer engagement, you have the NIVEA skin app that was presented. Should we expect to see a lot more technology and engagement investment?
Astrid Hermann: Absolutely. As I talked about, we are very much looking around really ramping up our one-on-one consumer interaction, strengthening all of our tools in that area and trying to much more use that also to drive our business. So absolutely.
Jens Geissler: Thank you. We move on to Guillaume Delmas, UBS. Please, Guillaume?
Guillaume Delmas: One very quick housekeeping question first. Strong momentum in China, how big was China as a percentage of your Consumers sales in the first half? So that's the housekeeping question. And then my two questions. I mean going back to digitalization and the two areas of particular interest to me, e-commerce and big data, from a capability standpoint, on e-commerce and big data, where do you think you rank today relative to your peers? Do you think you're in line, slightly above or below your competitors? And you've talked about this accelerated investment in this area. What visibility or confidence do you have that the incremental or part of the incremental €300 million over five years will be sufficient to build or further strengthen your competitive advantages in these two areas? And then my second question is on your portfolio. Today, do you see obvious gaps in your Consumer portfolio from a brand standpoint, either from a channel price point, a country point of view that you would be looking at filling via inorganic initiatives? Or you feel that with your current three large skin care brands, you've got all the tools you need?
Vincent Warnery: Thank you, Guillaume, for all those questions. I will start by the third one and then Astrid will take over. Together with the Supervisory Board, we are pretty happy with the portfolio of brands that we have. The good thing is that they are not competing with each other. We have extremely precise positioning, precise also trade channel. And even when we are in the same trade channel, for example, the drug stores in Latin America for Derma and NIVEA or simply Tmall for the three brands, the way we are positioned is making us not competing with each other. The challenge for us, I would say, is double. It's obviously to expand, for some brands, the categories in which we are active. So on NIVEA, we have a clear, clear willingness to develop, to accelerate the balance from personal care to skin care and with a big investment in face care. There are some countries in the world where we are not even there on face care. And this is obviously the biggest success of NIVEA this year. So we want to transform this global success into a success everywhere. I was mentioning China before. There are also some other categories in which we want to enter. We believe that a brand like Eucerin in the U.S. can go beyond the body and the baby market in which it is active today. We believe that a brand like Eucerin also can develop further in some other categories in Asia, where we are very focusing on face care. So this is more, I would say, this kind of fine-tuning, this kind of well-driven expansion to new markets or new categories, what we believe is the name of the game. And this is where we are putting our energy. Astrid, do you want to answer the first question?
Astrid Hermann: Sure. Thank you so much. So as we said, we are very happy with our momentum in China, really strong growth there and strong growth also versus 2019. In terms of size of the business, certainly, it's still a smaller size as some of our competitors, but we are looking at moving quite up to high single digit in terms of the overall size of the business.
Guillaume Delmas: Your position regarding where are we in e-comm, position where we are on e-comm.
Astrid Hermann: How our 9% looks versus...
Guillaume Delmas: Exactly.
Astrid Hermann: I think you touched a little bit on it. We certainly are much stronger in Eucerin with a much larger percentage of the business in e-comm and then we are really making good momentum in the rate.
Vincent Warnery: Absolutely. Guillaume, it's pretty simple and you know well the market. The fact that we are still small, and this is a focus -- small in the U.S. and in China, obviously, doesn't put us in the same kind of positive environment as other competitors. If I look at on a like-for-like basis, we are pretty good and the growth of plus 40% is really across the portfolio. And we expect even stronger second half of the year when we see the results for all the brands and across the world.
Jens Geissler: Okay. Thank you. So we move on to Tom Sykes of Deutsche Bank, please?
Tom Sykes: Just to hammer the point a bit on e-commerce first. On your digital media spend, I think you said it was 40% of your total media spend. Just wondered how quickly that will change? What sort of target level over the next couple of years you may have there? And on what sales impact specifically have you seen in areas where you've lifted that e-commerce media spend. Just as well on the hedges that you have, is it simply just the case of just rolling the 6-month hedges or however long they may be in terms of the raw material impact? And have you at all changed the length of any hedges that you may have, please? And yes, those are the main questions, please.
Vincent Warnery: I will take the first question, Tom, and Astrid will take the second one. It's difficult to answer your question, Tom, because I mean we believe, obviously, that going in the direction of 50% of our investment in digital makes sense, but it's more subtle than that. There are some categories, there are some countries where still TV is still driving the sellout. So I didn't want to put that as a kind of objective for the team, but we see when we combine all the businesses that going around 50% of our investment is something that seems to be credible and efficient. On e-commerce, we clearly believe that, midterm, getting -- doing at least 20% of our net sales in e-commerce makes a lot of sense, again, looking at the way our portfolio is designed with a much stronger weight on Derma. Clearly, Derma will be above this figure, which more reduced number of La Prairie. The art of beauty, the way we manage, the beauty advisers in a point of sale is still very important. So despite the investment on Tmall, we don't expect online to be much, much bigger than what we have in mind. And NIVEA, this is where we want to invest. So if you move from 9% to 20%, you have, obviously, a big part of the growth is coming from Nivea and this is where we invest a lot. Astrid, on the second question?
Astrid Hermann: In terms of your second question, so I think our procurement and supply chain teams did a very good job managing through all the contracts, particularly for the first half of the year. They saw some trends at the end of 2020 and locked us in. That is typically also the horizon that we will target half a year, but make decisions flexibly depending on how we see the market move.
Tom Sykes: Okay. And if I could just ask a follow-up, just on the off-line growth that you're seeing as people shop more off-line now than maybe they did last year, but you've got a positive e-commerce trend. What is the level of promotional activity and sort of in-store activations that you're having to see to make sure that you're maintaining or increasing your share off-line, please?
Vincent Warnery: You have in mind La Prairie, Tom, or...
Tom Sykes: No. More NIVEA really in terms of as people shop more in grocery stores or supermarkets, et cetera, is there a -- what's the level of promotional activity that you're beginning to see versus, say, last year and what you expect in the second half.
Vincent Warnery: Frankly, Tom, no change. Honestly, when I look at the way the business is driven both in Europe and North America, we don't see any change. We -- the tactics are the same, I am talking off-line. The tactic is the same and we are not seeing big changes. On La Prairie, this is why I was asking the question, you know that La Prairie is perhaps one of the only brands in the world which is never doing promotions. And that's something we didn't do in the past, we didn't do during the pandemic and we were really one of the only brands not doing that, not doing any kind of BOGO or whatever. And of course, we didn't do that with Tmall. So that's something which is absolutely essential in the equity of La Prairie and that we will continue to respect no matter what happens in the rest of the world.
Jens Geissler: Thank you. So we have -- next in the line, we have Karel of Kepler Cheuvreux, please?
Karel Zoete: I have a follow-up question with regard to your digital investments and more or less what was asked earlier and then one on margin structure. On your digital investments, I'm not so much interested in e-commerce today, but in terms of where do you want to invest the €300 million. You highlight one-on-one relationships, e-commerce, precision marketing. But what kind of capabilities do you want to invest? Is that system, is that more OpEx? Will you be in front in consumers? Or to put it differently, where does Beiersdorf stand in capabilities on things as the data warehouse, processing of data, digital collection. That's the first question, so really on capabilities and competitive advantages. And the second question is on the margin structure, and maybe more for Astrid. You come from a company with a similar gross margin to Beiersdorf, but Beiersdorf has a 10 percentage point or so lower EBIT margin. What does explain the significant gap or where there's opportunities for Beiersdorf to improve on cost structures.
Astrid Hermann: I will take both those questions. In terms of digital investment, in my presentation, I talked a little bit about what we're trying to strengthen there. And I do think we're building off of a good foundation. We really are trying to strengthen our digital infrastructure in the Company, both on what we call the Company journey as well as then to the external -- the consumer journey. And on the Company journey, we're building off of a very strong foundation with our SAP system and all the related system and are now moving to S/4HANA. We're embarking on that journey. And externally, we talked about the need of really growing our one-on-one connection and off of that really then driving our business with precision marketing, with interactions with the consumer through our Skinly guide and others. And then that hopefully, obviously, landing in both off-line as well as online sales really going up significantly. That's our priority. In terms of margin, obviously, the two businesses are quite different and need different investments below the line. I've been here now half a year, so obviously still a lot to learn. I think I'm seeing very good momentum in terms of rebuilding certainly our gross margin. And moving that further, we will see positive effect, obviously, in terms of mix and the growth there. And we will try to manage very, very closely, obviously, the impact from unfavorable commodities. And we are looking, as we have said also in the previous calls, at all the other parts of our SOI P&L to make sure that we are spending our funds as efficiently as we can, both on the marketing side as well as on general expenses. So more to come there. We're obviously on the journey.
Jens Geissler: Thank you. I see Rogerio of Stifel, please. Next, please.
Rogerio Fujimori: My first question is a follow-up on NIVEA. We saw encouraging trends in Q2 and I was wondering if you could share any additional color on sequential market share trends for NIVEA in your key markets in Europe. And then my second question is on price mix. Could you talk about the price mix contribution to organic growth in the Consumer division in Q2 versus Q1, and the outlook for price mix for the second half?
Vincent Warnery: Thank you, Rogerio, I will take the first question about NIVEA. So as I mentioned, we are very successful with face and body. So they are really the two categories, which are overperforming, and we are even above 2019 levels. When you look at lip and sun, there were obviously the categories most affected by lockdowns and we are still below 2019 levels. The good news, as I mentioned, is that the last part of the second quarter we saw a really extremely strong boost of sun. Again, we don't know if this is only the market or if we are overperforming that to the market. We have not yet the market share of June and July. But clearly, there is something happening, which is helping us a lot and which has made one of the major drivers of the growth in the second quarter. We have good growth in Personal Care. Deo are back to the 2019 levels. Shower is ahead of 2019. So we are happy with personal care. And overall, if you look at the world, we are pretty successful in what we call emerging markets. So obviously, Southeast Asia, Eastern Europe, Latin America. In Western Europe, due to the fact that the lockdowns were still around in the first semester, we are not yet at the level of last year, so we still have to recover in this part of the world. Second question, Astrid?
Astrid Hermann: Sure. So in terms of the question on pricing, certainly, given the very, very strong growth overall, pricing was the smaller part, but it was positive, which is great to see and Q2 was even a step-up from Q1, driven primarily by emerging markets in Northeast Asia. And we are expecting for the full year even a further step-up primarily driven by cosmetics in emerging markets. So really good trend in pricing that we are seeing.
Jens Geissler: Thank you. Next would be Jeremy. Jeremy of HSBC, please?
Jeremy Fialko: Jeremy Fialko here. A couple of questions. The first one is just on the tesa sales guidance. Obviously, after the extremely strong first half you had, the kind of high single-digit sales growth you're talking about would imply that the sales are down in the second half. Clearly, the comp base is tougher. But a little bit more color on that, please? Is it something to do with the -- just the comp basis, is it something to do with the car industry and the chip problems there? So some details there would be helpful. And secondly, could you talk about your A&P as a percentage of sales in the first half because when we looked through the half year report, your selling and marketing expenses are clearly down, but I think that will be benefiting from the sort of operational gearing effect. So could you talk a little bit about specifically your advertising and promotion as a percentage of sales in the half and then what you might expect that to be for the full year?
Astrid Hermann: Okay. I think I'll take both of those questions. So in terms of tesa and you've touched a bit on it. Obviously, the comparison is twofold with the back half 2020 very, very strong so the comparison obviously much, much tougher there. You talked a little bit about the volatile environment we're in, both in terms of supplies, but also just uncertainty. So this is where really our tesa guidance comes from. We are dependent on a lot of project type of business as well. There's some uncertainty there. But overall, we feel very, very strongly about our tesa business and we'll continue to obviously drive that. In terms of A&P and your question there, we have, obviously, in absolute terms spent quite a bit more in the first half. In terms of basis points still below, obviously, due to the net sales leverage that we've had there. We will continue to invest in the full year, and our spending is going to go up. And those investments are primarily behind digital, so the incremental investments primarily behind digital media with a focus on skin care.
Jens Geissler: Number actually for the half year was 25.5. When you look back at what we said last year, it's down by 10 basis points. Okay. Then we move on to Fulvio Cazzol of Berenberg, please.
Fulvio Cazzol: My first one is on the current promo pricing environment. I understand your comments that you're hoping to gradually increase prices to recover the commodity pressures. So I'm just trying to assess your level of confidence there and how long it could take before you can fully recover those commodity pressures. And then my second question is on working capital. You highlighted on one of the slides how it's come down significantly. I just wanted to ask how much of that is, let's say, a new base versus timing-related drivers?
Astrid Hermann: Okay. I will take both of those questions. We touched a little bit -- or Vincent touched a little bit on the promo environment. Overall, we're not seeing necessarily significant changes versus kind of normal operation in terms of promo pricing. We are making plans in terms of pricing. We already executed some in the first half, and we are making plans. Obviously, some environments, geographic environments and the type of this -- and contracts we have with customers will allow us to take pricing earlier or later, but we certainly are making all the plans to ensure that we drive our business. And we'll obviously watch also in terms of our pricing in the market and how that develops. In terms of working capital, again, it's really been a project that we've embarked on a few years back to really strengthen that. Certainly, versus the prior year the comparison is helping. We did obviously hold higher inventory in the prior year behind the corona crisis, but we are making progress everywhere and it's especially nice to see that we were able to manage our DSOs, so the sales receivables, from the customers very, very well through the crisis and even stepped that up some more this year. So really good progress of working capital management measures.
Jens Geissler: Okay. Is that fine, Fulvio?
Fulvio Cazzol: Great.
Jens Geissler: And I see the last caller today is Eva Quiroga of Bank of America. Eva?
Eva Thiele: Yes. Two questions from me, please. Firstly, Vincent, you've talked a lot about the contribution of the big brands to your growth story going forward yet you've also invested quite a lot in smaller brands, whether through M&A or your own focus like on the natural side. Can you maybe talk a little bit about the role you think those smaller brands are going to play? And then secondly, on China, can you maybe remind us with NIVEA where the pockets of strength and weakness currently are and how you think about driving the face care growth in an environment that's more competitive from a local player point of view?
Vincent Warnery: Thank you, Eva. On the -- what we call the small brands, I mean there is an interesting example, obviously, which is Hansaplast. Hansaplast is the smallest of the big brands and in a very difficult environment. And plaster obviously is rather a commodity. We manage and will surely do the best here, Eva, by having the stronger focus on a global pipeline, having also the right capabilities in the countries. And by having also the right portfolio, we can play a lot on sport in Australia. Obviously, we are more on the unique plaster in India and Indonesia. So that's a good example. I see the small brands, there are two kind of small brands. They are the historical German brands that are very strong in Germany. You might know them, HIDROFUGAL, 8x4, atrix. They are very good brands that the German affiliate is managing and it's bringing good growth, good profit and we'll continue like that. What we are trying to do, and I'm sure you saw the press release on O.W.N, on Routinely, we are also trying to test new approaches. The personalization obviously, is a big word that everybody is using. We are testing two approaches: one through our own R&D center with O.W.N., one with a start-up, Routinely, trying to see how we can with a pure online model develop personalized offer. Obviously, we are doing that not only to develop those small brands, but also to learn and to be able later to apply the learnings to our bigger brands. So I would say that for me, the way I see the small brands, an opportunity for us to test new approaches, to do also some trial and errors and then to learn something for the bigger brands, which are clearly the big focus of Beiersdorf and of the Board. On China, your question, yes, NIVEA. The complexity, Eva, is that, yes, clearly, the categories in which we are today in China are not the easiest one. I'd say we are very happy to be in men, but there are some other personal care categories, which are more difficult at the time when the Chinese are looking for premium offer. So this is why we are clearly developing, pushing this -- the face care area. This is why LUMINOUS was really the first big, big skin care success we had in China and with a very strong partnership with Tmall. So I would say, being stronger online versus off-line, being stronger in skin care versus personal care. And what is very important, I mentioned that in my introduction, the fact that now, and it's working, we have a research center in Shanghai with Chinese scientists with really investment and a lot of capabilities, their focus is very simple: they have to develop the right skin care offer for NIVEA, for Eucerin and perhaps for La Prairie. So I'm expecting a lot from this R&D center in order to change, to move NIVEA from what it is today to a premium skin care brand in China.
Jens Geissler: Thank you, Eva. Well, I think we have exhausted the list of callers, so thank you very much. Closing now, there are no further callers, I don't see any. So thank you for having joined our conference call here today. Beiersdorf's next Investor Relations event will be the publication of our nine months results on the 28th of October. We appreciate your interest in Beiersdorf. Thank you, and goodbye.